Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Vivek Khemka, Chief Technology and Product Officer of Liberty Latin America.
Vivek Khemka: Good morning, and welcome to Liberty Latin America's Third Quarter 2020 Investor Call. At this time, all participants are in listen-only mode. Today's following presentation materials can be found under the Investor Relations section of Liberty Latin America's website at www.lla.com. [Operator Instructions] As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. Actual results may differ materially from those expressed or implied by these statements. Additional information on factors or risks that could cause results to differ is available in Liberty Latin America's most recently filed Form 10-K and Form 10-Q for the quarter ended March 31, 2020. Liberty Latin America disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which such statement is based. In addition, on this call, we will refer to certain non-GAAP financial measures which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation and on our Investor Relations website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Vivek, and welcome, everybody, to our third quarter results presentation. Firstly, I hope you and your families are safe and in good health. For today's running order, I'll begin by providing an update on our operations, in particular, the recovery we have started to see and the investments we are making in our products and networks to establish a foundation for future growth. Chris Noyes, our CFO, will then follow with a review of our financial performance. After that, we will get straight to your questions. As always, I am joined by the executive team from across the region, and I will get them involved as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. I'll start on Slide 4 with our key highlights. Following a challenging second quarter, we delivered improved financial and operating performance in Q3 as most of our markets begin to recover from the impact of COVID-19. Operationally, we had excellent results in Cable & Wireless and Liberty Puerto Rico where in both cases, we delivered record quarterly additions with over 100,000 RGUs added across the 2 segments. Mobile adds also recovered as we gained 69,000 subscribers in Q3. Financially, we grew revenues and adjusted OIBDA sequentially with our cost management efforts making a significant impact in driving adjusted OIBDA close to our Q1 pre-COVID level, therefore, our adjusted EBITDA margins also improved. And we completed the acquisition of AT&T's Puerto Rico and U.S. Virgin Island assets on October 31. We are very excited about the opportunity to further strengthen our consumer offering in one of our best-performing markets while also generating significant synergies. I will cover our prospects there in greater detail later in the deck. Finally, we were informed earlier this week of preliminary awards made by the FCC under the Uniendo a Puerto Rico Fund. Following a competitive process, we are elated to have won funding to improve broadband speeds in 43 municipalities out of 78 across the island, including San Juan and the other key metro areas. Moving to Slide 5 and an update on the impacts we are seeing from COVID-19 in our key markets. Mobility restrictions have generally eased across the region, helping to drive improvement in our operations. However, some markets have experienced more severe impact than others, as can be seen in the chart on the slide. Of our key markets, our operations in Puerto Rico, Jamaica and Costa Rica were the least impacted by mobility restrictions in Q2, has showed improved year-over-year revenue growth in Q3 as restrictions were eased. Jamaica, in particular, recovered well with 4% rebased revenue growth in the third quarter, driven by strong broadband performance and stability in mobile. Panama and Chile are more severely impacted markets at towards the lower left of the chart. In both cases, mobility restrictions are easing, but for much of Q2 and Q3, very strict lockdown measures were enforced, and restrictions on a relative basis remain more stringent than in other markets. Overall, all our key markets are moving in a positive direction in terms of increased mobility. However, we remain watchful given the unpredictable nature of the virus. Turning to Slide 6 and our fixed subscriber performance by reporting segment. Starting with Cable & Wireless on the left of the slide. We achieved record quarterly growth of 66,000 RGUs, driven by Panama where we added 45,000 subscribers in Q3 as successful collection initiatives reduced churn. We see a significant longer-term growth opportunity in this market and have continued to invest in our networks and products. Jamaica was the other highlight in Cable & Wireless as we had another strong quarter, adding 19,000 RGUs and taking this to 65,000 additions year-to-date, 3x the amount we added in the same period last year. Moving to VTR and Cabletica. We flagged some challenges in Chile on our last call and have since reported subscriber losses in Q3. Chile is our most competitive fixed market, and we also experienced some network-related disruptions there following the significant spike in bandwidth demand and vandalism due to social unrest. We have responded to this with targeted network and customer service investments, working with the government and service initiatives, which have resulted in improving market performance for the segment as shown in the chart. Cabletica continued to grow its RGU base, however, at a slightly lower rate versus prior quarters as there was some impact from COVID-19 restrictions. Finally, to Puerto Rico, where we achieved yet another record quarter, adding 43,000 RGUs and beating the previous record we set in Q2 this year. This is a truly remarkable performance from our team on the island, and we are excited by the prospects of combining our business with AT&T's leading operations and networks. At a group level, this resulted in 35,000 net adds in Q3. The numbers were again impacted by the removal of RGUs, primarily in Panama, who are receiving services but not counted due to nonpayment. Moving to Slide 7 in mobile and B2B, where we have seen the greatest negative impact from the pandemic. Encouragingly, both products showed improved performance during Q3. First to mobile in the chart on the left of the slide. Looking at performance over a longer period, we made important operational improvements to our mobile business in 2018, which led to stabilization of our subscriber base in 2019. COVID-19 then drove significant prepaid subscriber losses in H1 2020 due primarily to mobility restrictions limiting the ability of customers to access services and reduce demand for top-ups generally given the time customers spend in their homes. In Q3, this mobility restrictions were eased across our markets, and we return to net adds with 69,000 subscribers added across the group. Our third quarter performance was driven by 54,000 adds in Panama as the country begins to reopen; and 19,000 in Jamaica, following successful subscriber acquisition campaigns. In Chile, subscriber declined by 11,000 in Q3 due to store closures related to lockdowns and promotional activity from competitors. Moving to B2B on the right. Our B2B business reported sequential revenue growth of 6% in Q3 with improvements across all product segments as markets begin to recover from the initial impact of the pandemic. On the far right of the slide, we have split our B2B business by customer segment, showing their revenue size and relative sequential growth for each. We saw the strongest growth in our government customer segment, driven by ongoing project in Panama and sales across other markets in the Caribbean. Wholesale and SMB were the next best performers as bandwidth demand drove capacity requirements and the small medium business segment benefited from markets beginning to reopen. Our enterprise and hospitality segments stabilized in the third quarter, showing signs of recovery. We expect future improvement to be tied to general economic recovery for enterprise and the return of tourism for the hospitality segment. Turning to Slide 8, where we highlight some of the innovative products we have launched during COVID-19 and our continuing net expansion investments. Starting with our consumer product launches on the left-hand side. The upper section refers to our next-gen TV product, which serves as a video content aggregator with access to apps, OTT content and traditional broadcast video with a personalized recommendation engine and Google voice assistant. Puerto Rico was the first market to launch this product and has seen NPS up by over 35%. We have also launched more recently in Panama where this differentiates us versus our competitor and are already seeing about half of our customers use the voice search capability and VOD. Below entertainment innovation, we have highlighted our adaptive WiFi product. We recognize in-home connectivity as a key aspect of a leading broadband offering and has now rolled out our optimized WiFi product in 9 markets, covering over 80% of all our models and touching 16 million connected devices. Moving to the center of the slide and our new B2B product designed to address the needs of business customers as the employees increasingly work from remote locations. Through our product, businesses can ensure their employees have the best connectivity through dedicated network access, security protocols controlled by company policies and all within a service that can be implemented remotely with ongoing business class support. Finally, on the right of the slide. Despite the pandemic, we are continuing to lean into our thesis of growing broadband penetration in the region we upgraded, or build an additional 79,000 homes passed in the quarter. Note that close to 90% of this activity was through fiber to the home, and this is the primary technology we are using for network expansion. As mobility improves in Q4, we expect to release another 100,000 homes passed, of which about half will be in Chile, reigniting our business there. In addition, as I mentioned earlier, we were successfully awarded funds under Uniendo in Puerto Rico, which will enable us to upgrade and expand our footprint, bringing access to more people and narrowing the digital divide. We were allocated approximately 3/4 of the homes available under the program in Puerto Rico and are excited to continue raising the bar for our customers with the latest, most reliable broadband offering and innovative products. Moving to Slide 9 and our operational focus areas. Starting with Cable & Wireless on the left-hand side. Our key focus from the onset of the pandemic has been to maintain our collections, and as part of that, to also increase the use of our digital channels. As shown in the chart, our collections dipped in April, but have recovered and have been stable throughout the months since, returning to pre-COVID levels. Our digital channel payments at Cable & Wireless are still relatively low at 25%, but they have increased 7 percentage points since March, and we are working to improve this percentage further. Note that digital payments for VTR/Cabletica are approximately 75%, and Liberty Puerto Rico, they represent about 85% of collections. Our network strength is vital to our operations and we have invested in fixed capacity increases of 69% and 32% in Jamaica and Panama, respectively, since March 1. We have also increased our cash and capacity by 37%. Moving to VTR in the center of the slide. As I mentioned previously, there has been some pressures in Chile following the spike in various demand earlier this year and subsequent impact on our network. The chart shows the benefit of the investments I mentioned to address those network challenges, as our monthly technical-related customer savings costs have decreased by nearly 50% from April to September. This has correlated on a lag basis to improve monthly subscriber performance. We carried out approximately 30% more technical field activities across the network in Q3, have increased capacity by 30%, since March 1 and expanded caching and interconnect by over 35%. Finally, to the right of the slide in Puerto Rico. Our focus in this market is to maintain our leadership through innovative products such as Hub TV and offering the best broadband speeds. And we are proud to have once again been awarded the Ookla Speedtest Award for Puerto Rico in 2020. As with the rest of our businesses, we have invested in additional capacity in Puerto Rico with a 35% increase since March 1 and all our network expansion is through FTTH. Finally for my section in Slide 10, and the recently completed acquisition of AT&T's assets in Puerto Rico and the U.S. Virgin Islands. On the left of the slide, I wanted to refresh some of the highlights of the combination. Note that AT&T's predominantly postpaid operation has been relatively stable through the pandemic with revenue broadly flat year-over-year in H1 2020. Through the transaction, we will create an integrated operator with leading fixed and mobile propositions. We expect that this will enable us to deliver convergent product offerings for our customers, benefiting from cross-selling opportunities and reduce churn. The AT&T business also brings robust infrastructure with a well-invested 5G-ready mobile network and island-wide wireline fiber assets. We are creating a more resilient network and platform to deliver telecommunication services. As with any in-market combination, we anticipate the transaction will generate significant synergies, and our expectations have not materially changed from when we agreed to the transaction. Finally, we have long-dated financing in place to fund the acquisition and, importantly are increasing U.S. dollar cash flows for the LLA route through this deal. On the right of the slide, we list our immediate focus areas. First, we want to integrate and grow into 1 new company as quickly as we can. Second, we plan to excite our customers with new fixed mobile propositions. Third, and crucially, we need to ensure service continuity as we migrate to our platforms. Fourth, we want to build and enhance our reputation as the leading full-service communications provider for consumers and businesses. And lastly, we want to innovate, leading with touchless, digital sales and service channels. We are still early enough at integration given we closed the acquisition only a few days ago. However, we have been preparing for some time and are raring to go. We will have a lot more to say about the business when we report our year-end results in February. With that, I'll now pass you over to Chris Noyes, our Chief Financial Officer, who will take you through our financial performance. Chris?
Christopher Noyes: Thanks Balan. Starting on Slide 12, I will summarize our Q3 results on both a year-over-year and sequential basis. We reported $888 million in revenue, a roughly $80 million decrease from last year. This decrease was principally related to the negative effects of COVID, foreign exchange translation, especially the 10% appreciation of the U.S. dollar against the Chilean peso, and our Q4 2019 disposal of our Seychelles business. In terms of rebased growth, our Q3 result reflects a 4% year-over-year decline, much improved versus the 8% decline we reported last quarter, led by strong growth in Puerto Rico and significant improvement at C&W. While our VTR/Cabletica segment delivered rebased results consistent with the second quarter. From a product perspective, our fixed residential business, which accounts for more than 50% of our total Q3 revenue, delivered flat year-over-year rebased growth, with strong underlying growth in broadband, largely offset by declines in telephony and video. Both mobile and B2B remain challenged across much of our footprint, as Balan highlighted, but we did realize higher revenue in both categories in Q3 as compared to Q2. Turning to the upper right. We delivered $360 million of adjusted OIBDA, only a 1% rebased decline over Q3 2019. Our quarterly rebased result was vastly improved to the rate we posted for Q2, which was negative 8%. And as seen by the quarterly chart, our adjusted OIBDA is basically back to pre-COVID Q1 levels. Note that on a year-over-year basis, we will face a tough comp in Q4 on rebased growth as our adjusted OIBDA in Q4 2019 benefited from approximately $15 million in one-off items. Our P&E additions in the bottom left of the slide were $157 million in Q3, reflecting 18% of revenue. As compared to last year's third quarter, our Q3 result was lower in both dollar terms and as a percentage of revenue. Our additions in the quarter were concentrated in CPE and in construction relating to network capacity and new build. Finally, moving to the bottom right. We reported negative $22 million of adjusted free cash flow in Q3, which was modestly better than what we had anticipated for the quarter. Recall, Q1 and Q3 tend to have higher cash interest payments due to the semiannual nature of many of our debt instruments and Q4 tends to be a seasonally strong cash quarter for us. From a year-to-date perspective, we have generated $59 million of adjusted free cash flow, well on our way to deliver positive free cash flow for 2020, which was the adjusted target we set when we reported Q1. Slide 13 looks at our Q3 segment performance and adjusted OIBDA margin evolution. Beginning with C&W, we generated $539 million of revenue and $220 million of adjusted OIBDA. Relative to Q2, revenue increased $24 million and adjusted OIBDA increased $16 million. Revenue declined year-over-year by 6% on a rebased basis, but significantly better than the 12% decline we reported last quarter. Our Q3 rebased revenue decline was driven by a 14% decline in mobile and a 4% decline in B2B. Fixed residential was broadly flat at 1% lower than the prior year. Q3 adjusted OIBDA fell by only 3% rebased terms as compared to 10% in Q2. C&W is focused on both direct costs, and other operating costs continues to compensate for our revenue decline as our OIBDA margin neared 41% in the quarter. Similar to Q2, C&W's P&E additions were $82 million or 15% of revenue and included 47,000 new or upgraded homes during the quarter. Turning to VTR in Chile and Cabletica in Costa Rica. We posted Q3 revenue of $237 million, reflecting a year-over-year rebased decline of 3%. Cabletica continues to deliver positive rebased growth, largely on the back of subscriber gains, but this growth is more than offset by a rebased decline at VTR due in part to lower ARPU associated with the cancellation of live soccer matches broadcast on our premium programming. In terms of adjusted OIBDA, this operating segment generated $93 million or a rebased decline of 6% over last year's Q3. This result compares favorably to a 10% rebased decline we reported in Q2. Factors contributing to our year-over-year performance in the third quarter included the previously mentioned revenue decline and higher other operating costs in Chile as we invested to enhance customer experience following COVID-related network challenges. Additionally, our Q3 results continue to be impacted by the strong U.S. dollar, combined with the FX rates at which our nonfunctional U.S. dollar costs are hedged. This factor led to a $5 million adverse impact of VTR's adjusted OIBDA on a year-over-year basis. Our P&E additions were $49 million or 21% of revenue, including new builds of $27,000. Finishing with Liberty Puerto Rico, where we delivered particularly strong quarterly results. We delivered $114 million of revenue in Q3 or 10% rebased growth. Our robust top line performance is driven by the positive impact of approximately 100,000 RGU additions over the last 12 months as well as modest growth in our B2B business. We reported adjusted OIBDA of $58 million or 14% rebased growth. Finally, we reported $19 million of P&E addition or 17% of revenue as we continue to invest in new build, adding 5,000 homes in the quarter as well as in CPE to accommodate our record RGU growth. Moving to the far right of the slide. I thought it was worth highlighting our adjusted OIBDA margin evolution. Our Q3 margin of 40.6% reflects a 140 basis point improvement over Q2 and a 130 basis point improvement over Q3 2019. As compared to last year, declines in our direct and our other operating costs, both measured as a percentage of revenue, contributed to our margin improvement. Slide 14 summarizes our financing activity, our liquidity position and our credit profile. During Q3, we completed our $350 million rights offering with overwhelming shareholder support. In fact, we received basic subscriptions totaling 97% of the aggregate raised, leaving to 3% for the oversubscription option, which was fully taken up. A portion of the rights proceeds are earmarked for use in funding the acquisition of Telefonica Costa Rica, which is expected to close next year. Additionally, we are in the final stages of closing our local in-market financing for this transaction and expect to have debt commitment on the asset of roughly $275 million, a sizable increase from our initial expectations. Subsequent to Q3, we repaid the remaining $100 million outstanding under our primary C&W credit line and funded a $1.9 billion AT&T acquisition with a combination of roughly $1.35 billion in restricted cash and approximately $550 million in corporate cash. Turning to the bottom left. We finished Q3 with $3 billion of cash and restricted cash and $1.1 billion in undrawn lines. Adjusting for both the C&W RCF paydown and the funding of the AT&T acquisition, as noted previously, we would have had $0.9 billion in cash on hand and $1.2 billion in undrawn revolving credit lines. Moving to the upper right. Our covenant leverage ratios for our 3 primary credit lines, which are based on annualized results for the last 2 quarters, are all in a good spot with ample covenant cushion. On a reported basis, for Q3, the group finished the quarter with net leverage of 4.1x, a modest decline as compared to Q2. If we were to adjust our leverage accounting for our nonwholly-owned subsidiaries, our proportionate leverage would be modestly higher in the mid-4s. Finally, we finished Q3 with $8.6 billion of gross debt. And as seen in the maturity schedule in the bottom right, we have minimal debt maturities through 2025, providing a nice runway for investment in growth. Moving to Slide 15, I will wrap up our prepared remarks. As seen by our Q3 results today, we demonstrated consolidated recovery across both our fixed and mobile KPIs as well as our revenue and adjusted OIBDA figures as compared to the challenged second quarter. No doubt we and other telecom operators are not out of the woods. But fundamentally, we are providing essential services that consumers, businesses and governments need to conduct their everyday operations. We are focused on investing in our products and networks to continue to provide our customers with market-leading services and to ensure we participate in the global recovery when it occurs. Even with moderate revenue compression year-over-year, we've been able to significantly improve our adjusted OIBDA margin. With our adjusted free cash flow of $59 million year-to-date and assuming we continue our path of seasonally strong Q4 free cash flow, we are well on our way to deliver positive free cash flow in 2020, as we had indicated in Q1 when in the midst of the initial COVID fallout. With about four days under our belt owning the AT&T Puerto Rico and USVI assets, our teams on the ground are enthused and focused. As seen today, our fixed business in Puerto Rico is performing exceptionally well. And by adding a leading new operator on the island, we are in a great position to provide customers with fully integrated consumer value propositions and continue to grow our business. We'll have a lot more to say about the underlying performance of these new assets and our integration plans when we report our 2020 results in February. With that, operator, we are ready to take questions.
Operator: [Operator Instructions] And we will take our first question from Soomit Datta with New Street Research. Please go ahead.
Soomit Datta: Two questions, please, if I could, one on CWC and then one on Chile. CWC, so revenues look to have stabilized, in fact, improved sequentially into Q3. So if we were to assume a kind of worst-case scenario, COVID persists into 2021, maybe no real return of tourism for the sake of hypothesis, do you think CWC revenues will kind of remain, broadly speaking, stable? Or is there room to increase? Or maybe there are some other risks which I'm not kind of thinking about? That's the first question, please. And then secondly, on Chile, I guess, just a little surprised by the subscriber losses. There's been some network issues. Obviously, COVID impacted. At the same time, we're seeing quite a large number of FTTH deployments happening. So this is really just simply a case of new competition coming into the market. And why would we not simply assume market share declines for VTR going forward therefore?
Balan Nair: Thanks, Soomit. I'll give you some color, and of course, I'll ask Guillermo on the Chile side, so be ready; as well as Inge on the Cable & Wireless side. I think on the question of revenues where we've seen revenue improvement, it's really driven by a recovery in the B2B area sequentially as well as our prepaid mobile business coming back as mobility improves. If I look at 2021, my expectation would be this has definitely stabilized with continuing improvement in our revenue profile. Our broadband product is also starting to take off. And I think, as you can see, clearly, our largest business in Cable & Wireless is Panama, which the mobility, even after all the restrictions removal, we still kind of like where things are heading with - at Puerto Rico when we start at COVID. So we'll continue to see improvements there, and we already are on both the fixed and our mobile business there. So I think sequentially, as we go on, we'll continue to see a steady improvement in the revenue profile. And Inge, do you want to maybe add something before I jump to Chile?
Inge Smidts: Yes. Thank you, Balan. We've been really in Q3, being focused on really further penetrating all the fiber builds we've done in all of our markets, mainly Panama, Jamaica. And this is clearly a consumer a segment which is still rising. So we continue to really push that forward, and we see good trends there, like you said, Balan. So we are, on the whole broadband, we really think we will be able to continue to grow. And also on mobile, we've learned a lot. And we plan for everything because we've learned really from the last month, and that's what we've been. So also there, we will see, continue to recover bit by bit as well as in B2B.
Balan Nair: Thanks, Inge. And also our subsea network there is improving as well, mostly because our wholesale business, all of the carriers riding on our network also demanded - or asked for more capacity. So we feel pretty good about it. On the Chile front, I think when we started the COVID, the restrictions were so significant. There were three things that happened. The restrictions were very significant. The capacity demand jumped through the roof. Essentially, a whole year's worth of demand came in within a week. And then thirdly, we were making a big migration on our call centers from a centralized structure to a very distributed work-from-home model. So we had a combination of things that happened in the beginning that drove a couple of things. One, our sales channel. Our primary and most effective sales channel is door to door. That came to a screeching halt that turned down the gross adds. And then churn went up as well because of some of the initial capacity issues that we had. And it took us about 30 days or so to get over that. And you can clearly see 2 things happening. One, as you look at the net adds declining, it's a combination of gross adds increasing and churn reduction. But the other number that you should look at as well is the service calls coming into our call centers are dropping. And that shows a lot of the work that we're doing on our network and our services is improving. I feel good about it. But I'm going to ask Guillermo to also provide you some local color because we also had, in addition to COVID, the social unrest that's going on, the uncertainty with the constitutional reforms and all that and vandalism on our network as well. Guillermo?
Guillermo Ponce: Yes. Thank you, Balan. As Balan pointed out, the subscriber losses are mostly driven by those 2 factors, a decrease on the gross adds, driven by the strict lockdowns and then the increasing churn by the disruption created on this period of time in which we received this tremendous surge in capacity demand took us some weeks to resolve and arrange. Network capacity is now normal. Service calls have been decreasing. And it is undeniable that we created customer disruption during that period. And we are now focused and have been focused over the last several weeks, and we'll continue to do that in elevating our service standards and customer experience to take them not only where they were before, but higher, in testament to the VTR history, which has been of leadership and provide a good service in the country. As Balan pointed out, this is not only COVID related. The social unrest and the implications has brought also a quite amount of vandalism over the networks, not only the VTR network, but also with other operators' network. We've been working with government in order to address that problem and provide more security to our network. Of course, that have added to the customer disruption. You also asked about competition, Soomit, and I would like to address that question as well. We have been facing tremendous competition over a long period of time, fiber competition from our main competitor and also price competition from others. And we have managed to sustain our leadership and be leaders in the broadband with more than 0.5 million subscriber ahead of the competitor that is second in the market. We have issues on the third quarter that we cannot deny. And as Balan pointed out, we are recovering from them both on the churn side and also on the gross side where we see lockdown restrictions eased off in Chile. We have our sales force coming back into play, and we see the improvement in gross adds. Also, I would like to point out that there was also a slight slowdown in the new building in the period as we shifted part of the technical crews that were in charge of that to support a faster and more effective deployment of the capacity improvements. That is also done already, so it forces our back to the new build program, and that should continue fueling our gross performance over the next weeks and months.
Balan Nair: Thanks, Guillermo. Yes, Soomit, so our fiber-to-the-home new builds are - we're releasing quite a bit in the fourth quarter, pretty good size. We are launching the Google Hub TV in the fourth quarter in Chile. We've improved our WiFi. We've launched a new WiFi product. Our technology and product team has introduced that as well. So yes, we look at that business, we're still very bullish on Chile, notwithstanding all the macro events there. And as you know, the currencies are starting to improve there as well.
Operator: And our next question comes from Diego Aragao with Goldman Sachs. Please go ahead.
Diego Aragao: Yes. The first is actually just a follow-up on Chile. You mentioned now that the competition with fiber players. Can you just provide a little bit more detail about it? I mean are you seeing a growing number of hybrid projects in the country? Or it remains more, let's say, concentrated among existing players, having this - those players expanding more quickly than others? I just want to understand that.
Balan Nair: Sure. Yes. Our existing players there, Claro, Entel and Telefonica, they've always been overbuilding us since 7, 8 years ago. I mean Claro is pretty much overbuilt us in Santiago. Like 6 years ago, they've pretty much overbuilt us. And so we've really been dealing with competition, as Guillermo said, for a long time. I think there's a couple of smaller new entry - entrants as well in fiber to the home, a couple of other brand names that's come in. They're targeting the C and D markets. And certainly, there's some - another one that's come in with - using price as a leading offering. And we feel like, certainly, there's more competitors than we've normally had. But I think the challenges that we had were challenges that - whether there was competition or not, we would have had it. As Guillermo said, we can't deny the fact that in the third quarter, especially in the beginning of June, July, we had those network issues, and that was really the primary driver. Other than that, we are used to competitors, and we'll continue to compete. All our new builds are fiber-to-the-home. And our HFC plan, I must say this, our HSC plan are all DOCSIS 3.1. We're going to go to DOCSIS 3.1 in our HFC plan. And so we feel, competitively, our network can compete. But we will win not just on the network. We will win because of our service and because we provide value with a very good pricing model and that's really going to be the difference.
Diego Aragao: Perfect. And maybe just a follow-up. How do you see - or how important it would be for you to, let's say, your strength, your mobile capability in Chile, right? Now you're operating an MVNO in the country, but would you see, let's say, in the biomass important for your strategy in the long term?
Balan Nair: Our mobile product has been working really well until COVID hit. We've been consistently growing that product quarter-over-quarter. The challenge during COVID period was because of our channels primarily. We are mostly on retail sales. And by retail, I mean shops, not kiosk. And when all the malls closed and our retail shops could not open, and we're still not fully open yet in Chile across - even across the city, that has really challenged us on the gross add side. But we're happy with the MVNO. If there's an opportunity to do something, we - of course, we are very opportunistic as a company. But we're quite happy with the MVNO. We struck a very good plan with Telefonica. And I think once COVID releases, I mean, and all the shops start opening, I think we'll start posting the same kind of numbers we used to for years.
Operator: And next, we will hear from James Ratcliffe with Evercore ISI. Please go ahead.
James Ratcliffe: Two, if I could, both on Puerto Rico. First of all, regarding the acquisition. You said you talked more about the opportunity in January. But can you help us think about sort of the relative sources of synergies, revenue versus OpEx? And any sense that, for example, what level of overlap you already have between the AT&T wireless customers and your - the fixed customers? And second, regarding this, the funding you received. Can you talk about also - I know Claro received funding as well. And is any of that going to overbuild you? Or does that limit your footprint expansion opportunities?
Balan Nair: Sure. And I'll ask both Naji and John, you also think of some answers here and give more color. But I tell you, we are really excited about the AT&T transaction. And the - we look at it - if you look at it from a Venn diagram standpoint, we have overlaps between our customer and AT&T customers. We a have bunch of our customers that don't have AT&T mobile, and we have a bunch of AT&T mobile customers that don't have a broadband. So we see the opportunity is quite significant there. And then, of course, the synergies come from all the usual standpoint. Even though labor is still one of the high point on synergies, but there will be synergies across the board in our business, both on the cost side and certainly, as I described, with the Venn diagram on the revenue side. And before we jump to Uniendo, let's just maybe ask Naji to also comment on the commercial side and the synergy opportunities.
Naji Khoury: Yes. Thank you, Balan. Yes. I mean James, the idea also of the pieces behind this acquisition is you're joining 2 premium brands, 2 premium networks, the best fixed wireless of the island joins the best mobile network. So in terms of the attach rate or sort of fixed mobile convergence, that, obviously, as Balan has mentioned, we're looking into it. We are literally on day four of the acquisition. So we need a bit more time to put all the numbers together, but definitely, a focus cross-selling each other not only on the broadband but also on the video as well as we believe the attach rate also could potentially increase. So really excited about the opportunity, and so far, on the five things that are going really well.
Balan Nair: Thanks, Naji. And James, you can clearly see in our Puerto Rico numbers, I mean, this management team is still ready for this work. This integration as well as inducing the commercial front there. On the Uniendo, we - like I said, we are very - we are quite elated by the response. And I can't say much about it because of all the restrictions. So I'm going to have John, our General Counsel, and he has worked really hard on this together with Naji and the team and on that bidding process with the FCC, and he'll know what we can say and what we can't say. But I'll ask John to give us some - a little bit more clarity on that.
John Winter: Yes. Thanks, Balan. So the - it was in the announcement from the FCC, but we did get awarded in the Phase 2, the 43 counties there and some of the top counties there to really strengthen our network in the market. And we have the over $70 million of funds there over the 10-year period to do that. We can't say much more about the technology and everything involved right now. We will have more when they finalize. All the paperwork has to be done in the next month. But like Balan said, really excited, the team did a great job - did a great job in turning the application together. The FCC did a fantastic job in making that available after the hurricane and really setting Puerto Rico up for connecting people who are not currently connected, but also more importantly, creating redundant and resilient networks.
Operator: [Operator Instructions] And up next, we will hear from Matthew Harrigan with Benchmark. Please go ahead.
Matthew Harrigan: Really, two questions here. One, I know you've been a little side tracked by all the activity this year, exogenous as well as internal. But I was curious if you could give us an update on your plans, or as you said there, a segmentation on the prepaid product side using the cloud and ERM and all that. I mean you've got a big opportunity there. And I know there are a lot of distractions this year. And then secondly, I know that having just done the rights offering, I know there's a lot of cognitive dissonance in doing buybacks right now. But with your stock price still at a very low level, how would you rate that versus more M&A and passing opportunities when you're looking in some instances, I guess using now the sub-$100 per home passed levels? It feels like you've got a lot of opportunities to deploy capital on an accretive basis.
Balan Nair: Matthew, your first question, you broke up a little bit there, so I didn't fully hear. But I think you were asking a question about our products and how we move to the cloud, is that what I - we heard?
Matthew Harrigan: Yes. Just using enterprise risk management, ERM, and the cloud and just doing better segmentation on a prepaid product side to address kind of the C, D market opportunity, if you will.
Balan Nair: Sure. Yes. I think we've brought in quite a number of technologies on the back end of our sites, too, one, do better CBM - base management. We certainly have also, as you know, upgraded our back office as well on the ERP side. On the product front side, our commercial team now has better visibility of data. I'll tell you, if you look at us 2 years ago and where we are today, it's like night and day difference. And then our product team, and I'm going to ask Vivek to jump in here. On the B2B side as well, we've been building some quite a few innovative products. So Vivek?
Vivek Khemka: Sure. On the product side, especially for our B2B customers, we're definitely migrating to the cloud, whether that's a lot of the traditional products moving from host voice unified communication-type products. But our real focus right now is offering managed cloud services to our B2B customers and then, of course, a lot of opportunity in the distributed workforce space. I think Balan talked about it earlier on in his presentation, and most of those will be cloud-based products. I hope that's answering the question you asked.
Matthew Harrigan: Yes.
Balan Nair: And your second question on capital allocation and new builds, you're absolutely - you're right, Matthew. We see new builds as a great opportunity for us. And in Chile, I'll tell you, the road map for us on new builds is actually very positive. And the fact that we've been able to get our cost per home passed down, very, very low suddenly opens up us to like a lot of this C and D neighborhoods that I think we had a question earlier on from James, I believe, that was asking - I can't remember who asked, someone that asked, maybe Soomit, that what are we doing on fiber to the home in Chile. And I'll tell you, with the lower cost, we've been able to expand it and we think the opportunity is good. On the right offering buybacks, we've announced our buyback back in the first quarter. And so we have that option. But right now, that's really a capital allocation against all the other opportunities in front of us. And as far as raising funds, I'll pass it on to Chris. We don't see that much in the near future here but...
Christopher Noyes: Yes. I mean I'll just add on the rights offering on the $350 million, a portion of that is earmarked for the Telefonica Costa Rica transaction. As you may recall, it's a $500 million purchase. We expect to close it in the first half of next year. We are currently near completion, as I mentioned on the call, around $275-odd million on the asset. And then the remainder is, call it, cash from corporate, which would include some of the monies we just raised from the rights offering.
Operator: That will conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator. Let me just say that we feel really good about the third quarter, the sequential growth, but more importantly, how we see the rest of the year playing out. And our focus on free cash flow, I think you'll be pleased with the way we've been approaching that. We feel good about the rest of the year. We're working on our budget for 2021, and I think we'll continue to see sequential improvement throughout next year. We're ahead of our plans. When we look at this COVID thing back in March, I think if we look at that back then and where we sit today, I can tell you back in March, I do not anticipate us sitting the way we are today here in November. So we feel good about that and quite optimistic about the future as well in our region. I want to thank all of you for your support and your time this morning. Have a great day.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's Third Quarter 2020 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials. We thank you for your participation. You may now disconnect.